Operator: Good day, ladies and gentlemen and welcome to the MKS Instruments First Quarter 2016 Earnings Conference Call. At this time, all participants are in a listen-only mode. Later, we will conduct a question-and-answer session and instructions will follow at that time. [Operator Instructions] I’d now like to introduce your host for today’s conference, Mr. Seth Bagshaw, Chief Financial Officer. Please go ahead.
Seth Bagshaw: Thank you. Good morning, everyone. I'm Seth Bagshaw, Vice President and Chief Financial Officer. I'm joined this morning by Jerry Colella, our Chief Executive Officer and President. Thank you for joining our earnings conference call. Yesterday after market close, we released our financial results for the first quarter of 2016. You can access this release at our Web site, www.mksinstruments.com. As a reminder, various remarks that we make about future expectations, plans and prospects for MKS comprise forward-looking statements. Actual results may differ materially from those indicated by these statements as a result of various important factors, including those discussed in yesterday's press release and in the Company's most recent annual report on Form 10-K, which is on file with the SEC. These statements represent the Company’s expectations only as of today and should not be relied upon as representing the Company’s estimates or views as of any date subsequent to today, and the Company specifically disclaims any obligation to update these statements. With respect to share repurchases discussed in today’s call, the timing and quantity of such repurchases will depend upon a variety of factors including business conditions, stock market conditions, and business development activities including, but not limited to merger and acquisition opportunities and such repurchases maybe commenced, suspended or discontinued at any time without prior notice. In addition, today’s call also includes non-GAAP adjusted financial measures. Reconciliations to GAAP measures are contained in yesterday’s earnings release. Now, I’ll turn the call over to Jerry.
Jerry Colella: Thanks, Seth. Good morning, everyone, and thank you for joining us on the call today. This morning I will review our results for the first quarter of 2016, including some key highlights. Following that I will give some color and an update on our progress with the Newport acquisition and finally, I’ll provide our outlook for the second quarter of 2016. Seth will follow me with further details on our financial results and then we’ll open the call for your questions. Total first quarter revenue was $184 million, up 7% from last quarter and non-GAAP EPS was $0.38. Our results were at the high-end of our guidance range driven by strong revenue from our semiconductor customers. Conditions in the semiconductor market have improved and our first quarter revenue was up 18% as device manufacturers ramped 16 nanometer and smaller devices, utilizing 3D structures and multi-patterning. Both3D NAND and multi-patterning rely heavily on action deposition processes which require a high degree of content that MKS provides. We believe that the industry relied more and more on multi-patterning and 3D structures as features shrink to 10, 7, 8 and 5 nanometers. Double-patterning will advance to triple-patterning and even quad-patterning for some layers as features continue to shrink, doubling the number of etch, deposition, and cleanings steps required. This increase is a capital intensive in these processes which will drive growth opportunities for MKS for a number of years to come. As features get smaller and critical etch and deposition steps increase, achieving quality, uniformity, and repeatability become increasingly more difficult. In critical etch, one of the challenges our customers face is the ability to deliver energy to etch a deep, narrow space while maintaining etch productivity, selectivity, and smooth straight walls. To achieve this, OEMs increasingly are turning to RF pulsing. In the second half of 2015, we launched a new RF generator platform called Edge. In the design, MKS developed the capability we call adaptive pulse technology that delivers exceptionally repeatable pulses resulting in defined profile control which helps balance the trade-off between edge accuracy and speed. This launch has been highly successful and we’re already receiving production quantity orders from major etch OEMs with this revolutionary generator. Before features could be etched, thin, uniform layers must be deposited, and with smaller feature sizes atomic layer deposition, ALD, and plasma enhanced atomic layer deposition, PEALD, are being [indiscernible] to deposit the extremely thin and conformal of material needed on the wafer. Based on the history of technical and commercial performance, our Paragon Remote Plasma Source as well as numerous other MKS technologies have been selected for the next generation ALD platform, from the leading ALD OEM. More broadly in our semiconductor business, we had additional design-ins and wins this quarter in a number of applications, including RF power for die simulation and semiconductor packaging, Liquizon dissolved ozone systems for wafer cleaning, remote plasma sources for FD exhaust cleaning, and revolution plasma sources for strip at a major logic manufacturers new fab, in China. I'm pleased to see additional success in our core semiconductor market; especially in RF we’ve made significant progress against the competition. Moving to our adjacent markets, last year we announced that we have entered into an agreement with a leading vacuum solutions provider to supply properly labeled and customized gauge products. This opened a new sales channel to the industrial and process marketplace, an important market for our vacuum, flow, and analytical products. In this quarter we started to fulfill the orders against this agreement. Another industrial process application we had additional sales this quarter for microwave products used in candy manufacturing as a customer’s production was extended to North American facilities. In the environmental monitoring market, we were pleased to receive orders from yet another government agency for our AIRGARD chemical warfare detection and monitoring systems, which safeguard critical infrastructure from airborne hazards. In addition to new design wins, follow-on business is extremely important to our success. I'm pleased to report that we’ve meaningful recurring business across many markets including thin-film applications such as OLED and solar cell manufacturing where we continue to ship our Liquizon dissolved ozone, flow, pressure, power and gas analysis products. At this point, I’d like to move to the Newport acquisition. On February 23, we announced our intent to purchase Newport Corporation, a global technology leader in photonics, lasers, and precision optics with a broad portfolio ranging from components to integrated subsystems. Newport has a balanced participation and a diverse array of end markets ranging from semiconductor to life and health sciences, which will both expand MKS's position in our existing markets and extend our reach into new markets. This supports our strategy to expand into adjacent markets while increasing our served addressable market and our core semiconductor business. I'm truly excited about the combination of MKS with a complementary technology Newport brings. While Newport and MKS are technology leaders with a long history of designing solutions that address the difficult challenges our customers face. Together, we will have an even more formidable portfolio of products and capabilities to address the needs of technology enabled solutions. I’m further encouraged by the number of positive comments from our customers, particularly our largest ones, about the opportunity to bring integrated technical solutions to these customers, that's a combination of Newport and MKS can provide which no other competitor can. Our thesis with this acquisition is that we will capitalize on synergies between the two companies, which will allow us to realize additional growth and profitability. We have a dedicated integration team in place and have developed extensive plans which include product cross-selling and synergy activities immediately after the acquisition closes. We anticipate reinvesting some of the savings in these activities into high-growth areas within Newport's product portfolio. From market opportunity perspective, we estimate that the addition of Newport will expand our served addressable market by $4.8 billion. Geographically, we operate in many of the same locations and we have the opportunity to optimize and leverage our combined sales channels to improve customer access, enable the cross-selling I referred to earlier. From a technology perspective, both Newport and MKS are leaders in critical technologies that enable advanced processes. Control of the interrelationship between process parameters is crucial to productivity and quality in advanced manufacturing. And the combination of Newport and MKS, would give us critical mass to synergistically respond to these complex challenges with integrated solutions that satisfy customers needs. MKS continues to differentiate ourselves from the competition and this acquisition gives us many exciting new places to grow. MKS has a long history of successfully acquiring and integrating high technology companies and this acquisition and preliminary integration planning activities are progressing well. We were excited about the team work we have seen so far between the companies and believe there was a strong cultural fit between the organizations. We have received all the necessary regulatory approvals, secured financing for the transaction, and subject to the approval of the transaction for the stakeholders, stockholders of Newport tomorrow, we anticipate closing this Friday. And finally, I'm pleased to announce that Dennis Werth will assume the leadership role as Senior Vice President of Newport reporting to me. This ensures continuity and stability in the Newport business unit as we continue integration into MKS. At this point, I’d like to turn to our outlook for the second quarter. The semiconductor industry is recovering from the softness we saw late last year and based on the input from our customers, as well as industry analysts, we anticipate continued recovery as we progress through 2016. 3D NAND and multi-patterning will continue to propel growth as the industry implements 10 nanometer and small align with designs. Based on these factors and looking at our current business levels, we anticipate that MKS standalone sales in the second quarter may range from $185 million to $205 million. And at these volumes, our non-GAAP net earnings could range from $0.41 to $0.54 per share. At this point, I'll turn the call over to Seth to discuss our financial results and expand on our guidance.
Seth Bagshaw: Thank you, Jerry. I’ll start with the first quarter financial results, provide and update on the Newport acquisition financing, and finally I’ll discuss our Q2 2016 guidance. Revenue for the quarter was $184 million, an increase of 7% compared to Q4 revenue of $172 million, a decrease of 14% from Q1 2015. Revenue for the quarter was near the higher end of our guidance range, primarily due to strong demand from the semiconductor customers. GAAP and non-GAAP gross margin was 42.4%, which was within our expectations at the sales volume. Non-GAAP operating expenses were $51.2 million, also within our expectations for the quarter. Our non-GAAP operating margin was 14.6% of sales. GAAP operating expenses were $55.4 million and included $1.7 million in amortization of intangibles and $2.5 million in transaction costs associated with the Newport acquisition. Non-GAAP net earnings were $20.1 million or $0.38 per share compared to $18.4 million in the fourth quarter and $35.5 million in the first quarter of 2015. Our non-GAAP tax rate was approximately 28%, and our GAAP tax rate was 26%, which includes the U.S federal tax benefit related to the Newport acquisition related costs. GAAP net income was $17.6 million or $0.33 per share. Now turning to the balance sheet, cash and investments increased by $8 million in the quarter to $667 million or approximately $12.51 per share, all of which is classified as short-term. As of March 31, our cash and investments were about evenly split between the U.S and our international operations. Total book value, net of goodwill and intangibles increased to $928 million or approximately $17.42 per share. In terms of working capital, days sales outstanding were 56 days at the end of the first quarter, compared to 54 days at the end of the fourth quarter. This slight increase in DSO is primarily due to the timing of revenue in the quarter. Inventory turns improved to 2.8 compared to 2.6 in the fourth quarter. Capital additions for the quarter were $2.2 million; depreciation and amortization expenses were $5.3 million and non-cash stock compensation was $4.2 million. During the quarter, we paid a cash dividend of $9.1 million or $0.17 per share, and we repurchased 45,000 shares of stock for $1.5 million. Now, I'll go through more detail regarding the composition of revenues for the first quarter. Sales to the semiconductor market were $135 million, or an increase of 18% compared to the fourth quarter and represented 73% of first quarter revenue. Within the semiconductor market, sales to semiconductor OEMs increased 18% from the fourth quarter and comprised 60% of total sales and sales to semiconductor fabs increased 20% in the quarter and comprised 13% of total sales. Sales to other advanced markets decreased by $10 million or 16% from the fourth quarter and were $49 million, representing 27% of total revenue. Approximately one half of this decrease is due to timing of orders within the quarter and remains within in our thin-film markets, which include applications in solar, data storage, and LED, which are project-based and can vary from quarter-to-quarter. Geographically, sales in the U.S were 51% of total revenue, sales in Asia were 38% and sales in Europe were 11%. Sales to our top 10 customers represented 50% of total revenue. Sales to applied materials and Lam Research comprised 19% and 17% of first quarter sales, respectively. Our headcount at the end of Q1 was 2,160, down from 2,181. The slight decrease is primarily due to normal seasonal attrition within our China-based manufacturing operations. In connection with committed financing to fund the acquisition of Newport, on April 19 we successfully allocated $780 million of Term Loan B that will be used to finance the acquisition. We are very pleased that the term loan was a multiple times over subscribed and therefore due to the strong demand, we were successful in reducing expected pricing by 75 basis points through both a lower spread and lower original issued discount than what were indicative terms we announced the transaction on February 23. The term loan was allocated at LIBOR plus 400 basis points with a 75 basis point floor and 99 original issued discount, which currently equates to a 5% annual interest rate. Immediately after the close of transaction, we expected estimated cash on hand of over $400 million and a $50 million asset-backed revolver and additional liquidity. We committed to delevering the balance sheet and we are pleased that this issuance was well received by debt investors. The term loan was rated BB by S&P and BA2 by Moody's. Finally, I’ll turn to Q2, 2016 guidance which includes transaction costs associated with the Newport acquisition, but does not include projected Newport results. Based upon current business levels, we estimate that our sales in the second quarter could range from $185 million to $205 million. Based upon this expected sales range, our Q2 gross margin could range from 44.5% to 45.5%, reflecting these volumes projected product mix. Q2 non-GAAP operating expenses could range from $52.5 million to $53.5 million. In the second quarter, R&D expenses could range from $17.8 million to $18.2 million and SG&A expenses could range from $34.7 million to $35.3 million. The range of operating expenses in the second quarter reflects the timing of stock compensation expense, as well as the seasonal increase in certain compensation costs, more normalized work schedules in the U.S, and continued investments in certain key research and development projects. As we mentioned in previous calls, the time of this projects is dependent upon a variety of factors and could vary from quarter-to-quarter. As indicated in our January call, we expect expenses will be slightly above our target operating model for the first half of the year and we will return to more normalized levels in the second half of 2016. In the second quarter, amortization of intangible assets is expected to be approximately $1.7 million and Newport acquisition related costs are expected to be $8.5 million, and net interest income is estimated to be approximately $500,000. We expect our second quarter non-GAAP income tax rate to be approximately 28% reflecting the anticipated geographical mix of taxable income. Our GAAP income tax rate to be approximately 27% reflecting the tax benefit of acquisition costs which are deductible against U.S taxable income. Given these assumptions, second quarter non-GAAP net earnings could range from $21.8 million to $29 million or $0.41 to $0.54 per share and GAAP net income could range from $14.7 million to $22 million or $0.27 to $0.41 per share on approximately 53.7 million shares outstanding. This concludes our prepared remarks. We will now open the call for questions.
Operator: [Operator Instructions] And our first question comes from Dick Ryan with Dougherty & Co. Your line is open.
Dick Ryan: Thank you and congratulations on a good quarter guys.
Seth Bagshaw: Thank you.
Dick Ryan: Jerry and Seth, are you going to provide an updated target model, what your expectations may be post the close?
Jerry Colella: Yes, Dick we’ll probably do that -- we’re working at it right now, probably in the third quarter earnings call we’ll definitely do that, perhaps a little bit earlier. We hadn’t closed the transaction yet. We need to kind of get through that first, and so it may occur later in the quarter but it’s really no later than the Q3 earnings call.
Dick Ryan: Okay. Can you maybe talk a little early then on what you might be looking for de-leveraging any expected goals in the first 12 months post the close or 18 months, anything like that?
Jerry Colella: Yes, nothing we can kind of share in a public form. We’ve asked the internal models that we’re -- we have that equate extensively. But kind of going out a couple of quarters will be more or less giving guidance and I don’t think we’re ready to do that quite yet. We are going to delever the balance sheet and if you look at the combined companies on a pro forma basis looking back in history we generated about $1 billion of free cash flow in the last 10 or 12 years in a combined basis. So the cash generation is quite strong but I think I’ll wait till we get to the Q3 and kind of lay out little more of a Q3 model I think at that point in time.
Dick Ryan: Okay. In non semi it sounded like you said there was some project timing related issues, is that going to be coming in, in Q2? How are you looking at non semi revenues in Q2 versus Q1 and is this -- or is there something that has a little longer timing implications?
Seth Bagshaw: Actually, Dick we had seen the order rates start to improve in the quarter. So my expectation is that we would see improvement in Q2 on the revenue side on non semi. It’s really kind of a bit of a lumpy business, but we’re very excited about flat panel as an example and OLED and Solar. In the OLED we’re seeing this like a 16% CAGR through 2020. And with that -- with the Apple transition to the new iPhone late in ’16, the non-planar curve displays for TV and mobile we’re excited about the continued strength in OLED and its across the board, its great because Liquizon product is permanently used for cleaning and it’s a great product. It’s well embraced around the world, particularly strong in Asia. But then we have our residual gas analyzers, pressure products flow control. So we expect to see Q2 look better for non semi and hopefully continue on through the rest of the year. But it comes in ways and it’s kind of lumpy and we did see the orders pick up, but they were a longer booking then just a churns business as we expected.
Dick Ryan: Okay, one last one. On OLED, Jerry can you kind of handicap what your opportunity may be there in that growth as you look out to 2020, what sort of SAM you have there?
Jerry Colella: Well, I’d actually like to spend a little more time giving you some more specifics. I’d rather not answer it right now. But if you look at the concentration we have in firms of the equipment manufacturers and the position we have with people like Samsung and others, it’s a pretty significant opportunity. But I will -- I’ll give you the exact SAM at a later date.
Dick Ryan: Great. Thank you.
Jerry Colella: You are welcome.
Seth Bagshaw: You are welcome.
Operator: Thank you. Our next question comes from Patrick Ho with Stifel, Nicolaus. Your line is open.
Patrick Ho: Jerry, maybe first off on the -- your core semiconductor business, given what looks like a building equipment flow. Have you seen any discernable changes in your lead-times and I guess what I’m getting at, have you started seeing them extend somewhat and given all the commentary about a larger second half waiting in terms of equipment spending, how have you appropriately set up your manufacturing operations to handle this build?
Jerry Colella: Well, thank you Patrick. Well the lead-times have been constant. One of the things that we do every day, if you look at booking and shipments every single day that’s the first thing I do when I come to work, and its something I’ve done for over 30 years. And what it allows me to do is keep a pulse on the business rather than wait for a month or a quarter. And we run the plants 24/7, so we have full utilization of all the equipment which keeps the lead-time and cycle time short. We have a flexible workforce that we can bring in, in terms of temporary operators. We have the overtime that we use. And then if you look at our inventory return, some people might say, your inventory returns don’t turn that great and part of that is we have what we call storage capacity, which is because it’s a lumpy business and it turns on a dime, we’ll have pre-built inventory and whipped and in finished goods locations to adapt to an upturn in the business. So between keeping a pulse in the business every day, having a flexible workforce that we use in terms of temporary labor and overtime, the strategic investment in storage capacity and inventory, I don’t worry about turns of the business. It’s actually -- we can go up in a quarter in the last 60%, 70%, I used to run around with my hair on fire back in the day. So if we’re going up 20% in the quarter or 30%, that’s something that’s almost a yawn for MKS. So I mean I think people come to us because of the technology, but they stay with us because of the operational capability. So we’ve got a pretty good finger on the pulse of that.
Patrick Ho: Great. And maybe going to the Newport for a second, now that you’re about to close the deal. I’m sure you’ve been working on the integration as soon as you announced the deal. What have you incrementally learned since late February when you announced the deal in terms of kind of the integration and some of the combinations, I guess what I’m trying to get there, what gives you the confidence that you can hit a lot of the cost savings targets that you outline to date?
Seth Bagshaw: Well, first of all we bought about 20 companies since we went public in 1999. So I believe we’re really good at doing the due diligence and then outlining the integration strategy. We have established an integration steering committee which I sit on with my direct reports, then integration project teams report up into them -- up into the steering committee. So we have flights for all levels of integration, operations, supply chain, sales, product management. And I feel pretty comfortable that the actions that we’ve outlined in terms of integration and synergy attainment are well known. We like the -- on the sales side, we really like the diversity of the markets we’re in. We think it’s nice to support us and we have a little mild a reduction in the semi cycles. I’ve gotten some really good positive feedback from major customers about integrated sub systems, longer term they’d like to see. And what's even more interesting is, when after the deal was announced one of our largest end users called us and said, we want to talk about optical sensing. We think the combination of optics Newport provides and the sensing capability of MKS is a game changer in the fab and on the tool. And so, we see cross selling opportunities from the technology side. We see cross selling opportunities because they have a list of customers in analytical instruments areas and other areas that we don’t get to, they have a lot of feet on the street and we have connections at the end users that they do not. So I think between the alignment of the teams, the continued focus we have on a weekly basis in terms of the work they’re doing on the synergies and integration, and then the opportunities that we have looked at from the technology side, I think that there’s great opportunity. And I had a phone call from one of our largest customers, our VP of Supply Chain and he had said, I can't get into who it is. He said his COO commented on, this is the type of company MKS that we should be doing business with. So as they do their continued work and growing their business, they see us with the Newport MKS combination as an incredible resource for integrated sub system business and they expect to do more business with us as a result of it. So the whole thing is really positive and it just takes a lot of time, a lot of effort, a lot of follow-up. But I think that’s the type of work that MKS is really good at. And then lastly we have technology integration teams, and they’ve already started to talk and the roadmaps at Newport, about the roadmaps at MKS. How we can take the optics technology that they’re developing in Newport and apply it into our environmental monitoring business because we use optics in a big way in terms of a stack monitoring and emissions control and conversely they’re looking at sensing capability that we have into some of the other areas of Newport. So it’s pretty exciting. Its -- everybody is really cheeked [ph] up ready to go about this one.
Patrick Ho: Great. Thank you very much.
Operator: Thank you. Our next question comes from Tom Diffely with D.A. Davidson. Your line is open.
Thomas Diffely: Good morning. Maybe just following up on that last question. What do you think the timing is for something along the lines of the cross selling or the technology integration, is it couple of years down the road?
Seth Bagshaw: Well, I think the cross selling is immediate. I think the fact that we’re already working our strategic marketing, Marcon groups are already working on the sales resource for the necessary to go into alternative customers to cross sell. So if you can sell photonics and optics and lasers, you can sell flow controllers and valves and pressure measurement instrumentation. So it’s a matter of getting their sales people trained and up to speed quickly. I think the integrated solutions piece that could be a year or two out. That’s going to talk about cross development and working roadmap with customers, but the cross selling itself I think is almost immediate.
Thomas Diffely: Okay. And then Seth, why $400 million of cash? That’s obviously a lot of cash you can have on hand after the acquisition. Is that for potential acquisitions as well or what is the $400 million bogie there for?
Jerry Colella: Yes, Tom so probably about three quarters of that mix is outside the U.S. or bringing that back, we’d obviously pay a tax bite. So that’s kind of bigger equation there. There is working on right now, there are -- we believe opportunities with this transaction to bring back a quantum that offshore cash we think was very minimal incremental tax and that’s not baked into the model right at this point. We think we can probably optimize the onshore cash with this model. But right now how I look at it is $400 million of cash plus about $100 million in the U.S. $300 million outside the U.S. was kind of a rough -- rough sizing right now.
Thomas Diffely: Okay. When you look longer-term, the use of cash that’s offshore, is that acquisitions or is it your own manufacturing facilities? What -- what would you use that for?
Jerry Colella: Yes, so if we can again bring some of that cash back to the U.S. we mentioned a minute ago with kind of a very minimal tax bite we’ll do that, and that give us more flexibility, cash in the U.S. and we share buybacks, de-lever all those things obviously. And the cash offshore right now is to fund the international operations, and we have made some acquisitions outside the U.S. last couple of years. But I think you’ll see us really focusing on de-levering the balance sheet. So we’d like to bring that cash back to the U.S. for that -- kind of that purpose in the short-term next 12 months for sure.
Seth Bagshaw: I mean it’s possible we’ll do a small technology investment $8 million, $10 million and something we think that’s emerging technology. What we don’t want to do is not, you’re going to take advantage of the technical advances in semi. And if we see an organization or a business that has technology, we want to get our hands on. We would make in small -- in technology investments though, but in the range of $8 million to $10 million something like that.
Thomas Diffely: Okay -- okay. And then when you look at the semiconductor business right now, obviously ramping pretty quickly here; is your business matching what you see as the shipments for your customers or do you think that the OEMs are building a little inventory at this point?
Seth Bagshaw: Yes, I mean probably a little bit of inventory. But for the most part it parallels pretty much what we see the customer is doing. And it matches what we are seeing from people in terms of prospecting the growth in the 3D NAND and FinFET side.
Thomas Diffely: Okay. I know you did highlight 3D NAND as the driver. Are you seeing much 10 nanometer FinFET at this point or is that later in the year?
Seth Bagshaw: We’re seeing some, but we expect a little more of its part towards the later part of the year. But people are already involved -- we’re already involved in. The nice thing is, we’re already involved in 10 nanometer, but we’re also involved in 7 at this point too, it’s beyond road-mapping. But actually as they implement over time we’re already in practical application. So we’re already getting ahead of it.
Thomas Diffely: Okay, great. And then finally, have you seen any impact from the recent Japanese earthquake on either customers or competitors?
Seth Bagshaw: No. No, I contacted -- I mean there was one facility for one of our Japanese customers that had some impact, but I don’t think it was anything that was significant. We contacted them and we heard that they were in pretty decent shape, but none that we’re aware of.
Thomas Diffely: Okay. Good. Thank you.
Seth Bagshaw: You are welcome.
Jerry Colella: Thanks, Tom.
Thomas Diffely: Thanks. Take care.
Operator: Thank you. [Operator Instructions] Our next question comes from Weston Twigg with Pacific Crest. Your line is open.
Weston Twigg: Thanks for taking my question. I just wanted to dig into this non semi revenue again. It looks substantially lower than typical. And I know you said that, it should improve through the year. But do you still think you can hit double digit growth and what gives you conviction I guess that, that it will recover substantially from the level we're at now?
Seth Bagshaw: Yes, so this is Seth. So in Q1, the order rate was substantially higher than the revenue rate, so definitely it’s a trend heading in the right direction. And the double-digit growth rates we had in the past had been over a period of time. We’ll have some quarter-to-quarter in various markets like solar is a good example. But we still feel very good with the long-term growth rates in those markets. And again the order rate we’re seeing now in Q1 is trending in the right direction, so we’re pretty positive about that.
Weston Twigg: Okay. That's helpful. And then, just the other question on guidance, I mean, I think the non semi probably explains the most of it. But I thought it would be a little higher given that Lam guided revenue up quite a bit, you have a lot of exposure there, presumably as you talked about the recovery in demand through the year. I thought maybe Q2 guidance would be just a little bit higher. Is there any -- maybe delay that we’re seeing or is it all just the non-semi softness?
Seth Bagshaw: Well, we did see, if you did notice we did come in on the high end of the guidance from in Q1, so we have a tendency sometimes to have people pull ahead of what they guided get ready for their production and we see a steady pace in the business but we think this is the best rate. I think people had us at an average like just under $200 million for a mid point we got it around $195 million. So plus or minus $4 million or $5 million in this business to me is just a matter of an order or two that people pull in or push out.
Weston Twigg: Okay, very helpful. Thank you.
Seth Bagshaw: You are welcome.
Operator: Thank you. [Operator Instructions] One moment while we wait for questions to queue up. And I’m showing no further questions at the queue at this time. I would like to turn the call back to Jerry Colella for any closing remarks.
Jerry Colella: Thank you. Thank you for joining us on the call today and for your continued interest in MKS. We look forward to updating you in our continued progress when we report our second quarter results in July. Additionally we hope to see you at some of our upcoming investment conferences which include KeyBanc, Pac Crest Industrial Conference in Boston and the D.A. Davidson technology firm in New York both on June 1. The Stifel technology conference in San Francisco on June 6, as well as the Stifel Industrial Conference in New York on June 13, and SEMICON West in San Francisco July 12 and 13. Thank you.
Operator: Thank you, ladies and gentlemen for participating in today's conference. This does conclude today's program. You may all disconnect. Everyone have a great day.